Operator: Good day, ladies and gentlemen, and welcome to the PerkinElmer Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to turn the floor over to Tommy Thomas, Vice President of Investor Relations. Please go ahead, sir.
Tommy Thomas: Thank you, Karen. Good afternoon and welcome to the PerkinElmer Second quarter 2017 earnings conference call. With me on the call are Rob Friel, Chairman and Chief Executive Officer; and Andy Wilson, Senior Vice President and Chief Financial Officer. If you have not received a copy of our earnings press release, you may get one from the Investors section of our website at www.perkinelmer.com. Please note that this call is being webcast live and will be archived on our website until August 17, 2017. Before we begin, we need to remind everyone of the Safe Harbor statements that we have outlined in our earnings press release issued earlier this afternoon and also those in our SEC filings. Any forward-looking statements made today represent our views only as of today. We disclaim any obligation to update forward-looking statements in the future even if our estimates change. So you should not rely on any of today's forward-looking statements as representing our view as of any date after today. During this call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures we plan to use during this call to the most directly comparable GAAP measure is available as an attachment to our earnings press release. To the extent we use non-GAAP financial measures during this call that are not reconciled to GAAP in that attachment, we will provide reconciliations promptly. I'm now pleased to introduce the Chairman and Chief Executive Officer of PerkinElmer, Rob Friel. Rob?
Robert F. Friel: Thanks, Tommy. Good afternoon and thank you for joining us today. The second quarter was a busy time for PerkinElmer and one in which we made good progress on our strategic priorities to improve our growth trajectory as well as our operating effectiveness and profitability. Looking specifically at our financial performance during the quarter. Organic revenue grew 1% to $547 million. Adjusted operating margins expanded 70 basis points to 18.2%, and adjusted EPS was $0.67 in the middle of our previous guidance range. We felt good about the margin expansion in adjusted EPS, but we were disappointed with our top line performance. While we experienced several puts and takes relative to our forecast, fundamentally the shortfall was due to weakness in academic markets outside of the U.S. and a decline in Europe largely due to computer malware that negatively impacted our third-party logistics provider in the last few days of the quarter. And while our IT and operations team did an incredible job working around these systems issues, ultimately, our ability to recognize revenue at the end of the quarter was negatively impacted. As Andy will discuss our second quarter financial performance in more detail, I will focus my comments on our performance year-to-date relative to the strategic priorities and financial commitments we communicated in the beginning of the year. As a reminder, in January, we forecasted that our 2017 revenue would grow 4% organically. Adjusted operating margins would expand 70 basis points to 90 basis points and adjusted EPS would be in the range of $2.75 to $2.85 representing a growth on a constant currency basis of 8% to 12%. Through the first six months of the year, organic growth has been about 3% despite the issues mentioned previously. As our end markets have been fairly consistent with our expectations. In addition, the introduction of new products and our focus on improving our customers' experiences are translating into good traction in the market. As a result we are confident in forecasting an acceleration of organic growth to 5% in the second half as we previously communicated and we continue to forecast 4% organic growth for the full year. Adjusted operating margins through the first six months have expanded 40 basis points, also tracking to our plan. However, given the strength of our service business in the first six months, we have experienced less gross margin expansion than expected despite seeing gross margin improvement in both our service business and our product offerings. Given this first half performance, we remain confident in our ability to expand adjusted operating margins for the year, consistent with our guidance of 70 basis points to 90 basis points, while the mix between gross margin expansion and operating expansion will be more evenly balanced than originally anticipated. With regards to adjusted EPS, we've increased our range to $2.84 to $2.92, reflecting a more favorable foreign exchange environment and our EPS fee of $0.02 in the first quarter of this year. Consequently at the midpoint of our guidance, we are now forecasting a slightly higher adjusted EPS growth rate of 11% on a constant currency basis. Regarding our strategic priorities, we have made substantial progress on driving our strategic growth initiatives and further evolving the company to accelerate growth. As you may recall, following our decision to restructure the company in the Discovery & Analytical Solutions or DAS and Diagnostics, we established a plan to sell our Medical Imaging business and more aggressively manage our portfolio of businesses to focus on our most attractive opportunities. In the same time, we've been increasing our growth rate by expanding our global diagnostic footprint, and accelerating growth in DAS, by disproportionately investing in certain areas and improving commercial execution. During the second quarter, we closed the divestiture of Medical Imaging resulting in an after-tax booking of $180 million and cash proceeds of over $250 million net of taxes. Our acquisition earlier in the year of Tulip Diagnostics, a leading in-vitro diagnostics business in India, both expanded our capabilities geographically, and broadened our product offerings into the immunology and clinical chemistry markets. Furthermore, having now solidified this extensive channel in India, we're looking forward to leveraging a number of PerkinElmer products to drive incremental sales in the region. Our recently announced agreement to acquire EUROIMMUN further expands our diagnostics business into the areas of autoimmune diseases, allergy and certain infectious disease. Since our announcement, we've had several collaborative meetings with our colleagues at EUROIMMUN to identify and prioritize the key areas of synergies, and the more time we spend together, the more opportunities we see to collaborate and leverage the two companies' strengths. In addition to the significantly – in addition to significantly expanding our addressable markets, it is clear that EUROIMMUN will also fill key gaps in the areas of antibody and antigen production as well as differentiated detection and liquid handling capabilities. Also our ability to accelerate EUROIMMUN's growth in the United States though our strong connection with public health labs has been accelerated by the recent FDA announcement to reduce the regulatory requirements for many allergy tests, thereby allowing us to enter the market faster than we anticipated. From a regulatory perspective we've already received approval from the German Antitrust Authorities and our submission to MOFCOM in China has been filed, and is in Phase 1. Over 99% of the shares have been tendered to-date, and we expect to close quickly after receiving approval from MOFCOM, which we currently anticipate to occur in late Q3 or early Q4. Turning to another exciting area where we are expanding our diagnostics market. Today, we announced the launch of our genetics services business called PerkinElmer Genetics. This business will provide whole genome sequencing through a comprehensive end-to-end solution for genomic lab testing, that includes sample collection, assay development, biochemical and sequencing testing services. The business, which will be based on several of our screening and diagnostics labs around the world will perform screening and diagnostic testing, and will specialize in newborn screening and high throughput next generation sequencing for rare inherited diseases. For example, in the U.S., we have two CLIA certified clinical laboratories that process more than 500,000 samples a year. The testing menus offered by these labs include newborn screening, biochemical profiling, 2nd tier molecular confirmatory testing, Sanger and NGS-based panels and exome and genome sequencing. Because sequencing is not a standalone option, our ability to use a dry blood spot sample, and to stimulate molecular and biochemical data from our global laboratories will improve the interpretation of genomic variance. While initially focused our newborn and ViaCord customers, we've also developed a biochemical and molecular testing menu to meet the needs of other segments, including pharmaceutical companies and serve the markets in China and India. Moving onto the DAS business, while the operating structure for this business has been in place for less than a year, we have made good progress refining the organizational structure, ensuring the successful delivery of DAS's 2017 commitment and pivoting the business for long-term success. During DAS's short existence, we've built out its leadership team along with successfully launching several new products. These include a new ICP-MS and ICP-OES products for the inorganic markets. The Vectra Polaris systems for quantitative pathology and the QSight, a new triple quad mass spec for the food markets, which will be launched for the diagnostic markets at the Association of Public Health Labs in September. Regarding some of the specific growth areas within DAS, in our food franchise, we continue to integrate the Perten, Delta and Bioo acquisitions into the organization. Increasing regulation is helping to drive demand as more governments are calling for higher standards regarding food safety, quality and authenticity. As we integrate these assets with current offerings from our analytical instrument portfolio, we are now able to provide a complete suite of solutions for a large segment of the food market. Moreover, we believe the capabilities of EUROIMMUN will further strengthen our capabilities in additional areas like pathogen testing. In our OneSource business, we continue to build out additional capabilities and professional services, providing a broad suite of critical solutions for our customers' workflows beyond asset management. In the first half of the year, OneSource implemented more than 25 new or expanded projects and programs in the professional services space. Moving forward, we're building capabilities in data integrity, validation activities, and integrating and leveraging expertise in asset adjacencies such as IT and compliance. Additionally, we continue to invest in our informatics and digital capabilities and believe we are in a unique position to capitalize on the digital trends which are transforming the laboratories of the future. Before I turn the call over to Andy, let me summarize our key takeaways from the first half. We are tracking to our financial commitments made in the beginning of the year and expect organic growth to accelerate in the second half. Even more importantly, we are successfully executing on our strategy to focus the portfolio, expand the global diagnostics business and accelerate growth in DAS to create long-term value for our customers, shareholders, and employees. Now, I would like to turn the call over to Andy.
Frank Anders Wilson: Thanks, Rob, and good afternoon, everyone. Consistent with previous quarters, I'll provide some additional color on our end markets, a financial summary of our second quarter and first half 2017 results as well as details around our guidance for the third quarter and the full year. Reported revenues from continuing operations for the second quarter of 2017 grew 2% to $547 million. Foreign exchange represented a headwind of approximately 1% with acquisitions adding approximately 200 basis points resulting in organic growth of just over 1%. As Rob mentioned, a softer than expected academic end market in Europe and Asia coupled with issues late in the quarter at our third party logistics provider in Europe negatively impacted organic revenue growth by approximately 200 basis points. For the first half, organic revenue growth was approximately 3%. We remain confident that the success of our recent new product launches coupled with favorable comparisons in the second half of 2017 will enable us to meet our full year organic revenue growth commitment. Looking at our business segments and served end markets, Diagnostics organic revenues grew 1% organically as expected in the second quarter, impacted by a challenging double-digit prior period comparison. For the first half of the year, Diagnostics grew approximately 4.5%. Discovery & Analytical Solutions grew 1% organically with the results impacted by softer than expected European and Asian academic markets as mentioned earlier. For the first half of 2017, DAS grew approximately 2%. Looking at our geographic results for the second quarter, we experienced mid single-digit organic revenue growth in the Americas, flat revenues in Asia due to very difficult prior year comparisons, particularly in Diagnostics, and low single-digit organic revenue declines in Europe. In the BRIC regions, organic revenue growth remained broad-based with an overall increase in the low teens, with China up double-digits. As to our operating results, second quarter adjusted operating margins expanded 70 basis points to 18.2% driven by improved sales execution and continued G&A leverage. Total SG&A improved by 100 basis points, more than offsetting another quarter of increased R&D investment. As a result, adjusted earnings per share from continuing operations for the second quarter of 2017 was $0.67, matching the midpoint of our guidance range. We continue to make good progress on our efforts to expand gross margin across both instrument and services with early success from the move of procurement activities to emerging markets. While we still expect to see gross margin expansion for the year, the second quarter and first half were impacted by a mix shift into services. By segment, adjusted operating margins for DAS were 16.7% up 100 basis points, a result of pricing initiatives and sales execution improvements just mentioned. Adjusted operating margins in our Diagnostics business declined 80 basis points over the same period last year, due primarily to continued R&D investments in Vanadis and IONICS as well as the impact of recently acquired businesses specifically Tulip. For the first half of 2017, Adjusted operating margins were up 40 basis points driven by selling and G&A leverage, and a positive mix shift into our strategic focus areas. For the full year, we still expect to deliver 70 basis points to 90 basis points of margin expansion and remain on track to deliver on our longer-term operating margin expansion commitments. Looking further into our business segments for the second quarter, Diagnostics representing approximately 30% of total revenue, was as expected impacted by a tough prior year comparison. As a reminder Diagnostics had organic revenue growth of over 12% in the second quarter of 2016 with particular strength in China. Through the first half of 2017 the majority of our served Diagnostics markets continued to track to our expectations driven primarily by newborn screening and emerging market Diagnostics, which continued to outperform as compared to developed markets. We won two meaningful newborn screening tenders during the quarter in Russia and Mexico, and are seeing strong demand from our China Laboratory business launched last year. In addition, there are several new products launched in the latter part of the first half that are expected to contribute to accelerated organic growth in the second half of the year for Diagnostics. Switching to our Discovery & Analytical Solutions business, as mentioned, revenues were impacted by timing and a softer than expected academic market, specifically in Europe and APAC, which negatively impacted sales in the second quarter. We're encouraged by the improvement in recent order trends, and expect to see organic growth acceleration in the second half of the year, as first half new product launches continue to ramp. Looking at sales in our served end markets, growth continuous to be enhanced by our new ICP-MS targeting environmental applications, while positive pharma biotech results were driven by another strong performance from lab services, which was up mid-teens in the quarter. During the quarter, we won several OneSource tenders, which will commence in the latter part of the year further supporting this top line growth performance of our laboratory services business. Food revenues as expected, declined moderately in the quarter due to a mid-teens comparison in the prior year. For the second half, we believe food will grow double-digits driven to a large extent by success with our Perten offering. Industrial revenues improved to low single-digits for the second quarter and first half of 2017 driven by strong results in Asia, while academic and government results improved in the quarter aided by U.S. strength were down modestly through the first half of 2017 due to Q1 2017 softness. In terms of operating margin expansion, as I mentioned, we're confident in our ability to deliver 70 basis points to 90 basis points for the year as lean initiatives continue to ramp and we continue to benefit from low-cost sourcing actions. Adjusted net interest and other expense for the second quarter was approximately $11 million and it's tracking in line with our initial guidance. While our year-to-date adjusted tax rate is approximately 17%, which is slightly below our January guidance due to discrete items in the second quarter. For the full-year, we expect the adjusted tax rate to be approximately 17.5%. Turning to the balance sheet. We finished the quarter with approximately $1.1 billion of debt and $616 million of cash, which includes the proceeds from the sale of the medical imaging business earlier this year. We exited the quarter with a net debt to adjusted EBITDA ratio of approximately 1.1 times. As a result, we believe, we're well positioned to fund the upcoming purchase of EUROIMMUN. Turning to cash flow, year-to-date operating cash flow from continuing operations was $95.6 million as compared to $107 million in the prior year due primarily to the timing of payables. As we look ahead to the balance of 2017 and beyond, we believe we will continue to officially manage our working capital requirements and drive approximately $300 million of free cash flow for 2017. Looking to the balance of 2017, given improved order trends across both DAS and Diagnostics as well as easier comparisons, we believe we are well-positioned to deliver a solid financial performance in the second half. As a result of a more favorable foreign exchange environment and better revenue growth through acquisitions, we are raising our reported revenue guidance for the full year 2017 to be in the range of $2.23 billion to $2.24 billion. As Rob mentioned, this represents organic revenue growth of 4%. To reflect our updated views, we're increasing and tightening our full year adjusted earnings per share from continuing operations guidance to now be in the range of $2.84 to $2.92, which does not incorporate any impact from EUROIMMUN. For the third quarter of 2017, we're forecasting reported revenue to be in the range of $550 million to $555 million, which represents organic revenue growth of approximately 5%. Assuming $11.5 million for net interest and other expense, a tax rate of 17.5% and approximately 111 million shares outstanding, third quarter 2017 adjusted earnings per share is expected to be in the range of $0.71 to $0.73. This concludes my prepared remarks. Karen, at this time we would like to open up the call to questions.
Operator: Thank you. We ask that you limit yourself to one question and one follow-up question. And our first question for today comes from the line of Tycho Peterson with JPMorgan.
Tycho W. Peterson: Hey, thanks. I'll start with a question on the Sequencing Services announcement I had a few inbounds on that tonight. I really just would love to get a better handle on the strategic logic here. How does this leverage what you already have, and really going head to head with Genome centers, low cost emerging market service providers, can you maybe just talk on competitively how you think you're going to stack up and what the strategic rationale is in that market.
Robert F. Friel: Sure. So, let me start with the strategic side, and I'll talk about why we think we can win there, or what we think are some competitive advantages. So, first of all, we think this starts off sort of a natural extension of our newborn and also our ViaCord business. So, as I think you know well, we do the screening for the metabolic disorders, and very often the confirmatory test is done through sequencing. So we think we can pick up a fair amount of that business, number one. Second is we have a stored bank of over 350,000 cord bloods, and periodically we request it, and we think there is an opportunity to do some genetic sequencing of those. And again, so I think that business alone probably is – probably a $10 million or $15 million business in a relatively short period of time. We are also by the fact of our presence in India and China, and particularly in India, doing some sequencing today actually of some individuals in India. We have a contract with a large pharmaceutical company, where we're doing some work with them on selection for clinical trials, and we're in discussions with a number of organizations. So, it's a capability that we currently have, it's also consistent with and I think as you know well that in addition to the sequencer, we basically have the capabilities around that. So if you look at the various components of whether it's liquid handling, whether it's DNA extraction, whether it's the quality control or whether it's the enrichment, those are all things that obviously PerkinElmer does, so we think we can be very cost competitive. I think the other thing that we think makes us somewhat unique is we've developed the capability to do it through dried blood spot sampling and therefore we think that increases access for patients globally and decreases the cost by eliminating the need for collections, storage, expensive transportation, et cetera. And then I think lastly, I think our global footprint also allows us to enrich the data base which will improve the interpretation of genomic variance. So I think there is a number of things that we feel pretty good about and maybe finally, we have strong clinical interpretation capabilities. So we just thought it made a lot of sense. I think the question was when is the appropriate time to do that? And like I said, I think we'll probably through the end of this year and probably next year, we'll be able to build a relatively quickly, probably a $15 million or $20 million business and then as we look out a couple of years, we think it probably is $50 million plus.
Tycho W. Peterson: Okay. And then for the follow up, outside of the logistics IT issue, I'm just curious as that how end markets performed against what you've been expecting in the quarter. It sounds like academic was a little bit worse that makes you maybe a bit of an outlier versus what we've heard from peers.
Robert F. Friel: Yeah I can guess that, I mean when we step back, I would say, when we step back from the quarter, while we were a little disappointed with the number, there was nothing, whether it was operationally competitive, market perspective that caused us to change our view on the year or the back half. So if I just run through the markets quickly, so pharma for us was sort of low single digits, that's basically what it's been running. Obviously, there's a headwind there from our radioactive business that came in about what we thought. Environmental was sort of low single digits. That's been doing a little bit better than that, but it had a difficult comp year-over-year. Similarly, food was in the same situation. It was actually down a little bit. It was against a 17% comp year-over-year. If you look at industrial, actually it continues to improve a little bit, so that was up, I think, 2% or 3% in the quarter. We saw particularly strength in Asia and as you pointed out, and I think we talked in the prepared remarks, the academic market was the one that we were a little bit disappointed. It was down low single digits, and it was up against a relatively easy comp. It was down mid single digits in the second quarter of 2016. So again, I think the markets performed pretty well as we expected with the exception of the academic markets. On the Diagnostics side, again, if you go through it, newborn was up high single, and I think, if you look at we had a very difficult comp in China. I think, Andy mentioned it particularly in China, I think we were sort of 50% plus last year because of the placements with the high Yuan. And so again, we knew that going into the quarter, and so, I think we called out earlier that we thought Diagnostics would be down low single digit. When you look at the impact in Europe with the logistics issue, it was sort of evenly split between Diagnostics and DAS. And so, I think, absent that, Diagnostics probably would have been up closer to 3%, and DAS probably would have been closer to 2%.
Operator: Thank you. And our next question comes from the line of Isaac Ro with Goldman Sachs. Isaac, your line is open. Could you check your mute button, please.
Isaac Ro: Good afternoon. Thanks for taking the question. Sorry about that.
Robert F. Friel: Sure.
Isaac Ro: Yeah, hey. Just trying to think a little about on the innovation side. Obviously, you guys have made a lot of changes to the company over the last couple of years, it's a new portfolio, new look in terms of end market growth. If you can talk a little bit about some of the things that are less visible to us on the outside in terms of how that's affected the way you guys innovate on both sides of the company? And when a realistic timeframe might be for us to start to see the fruits of those investments in terms of accelerated organic growth?
Robert F. Friel: Okay. Great. So first of all I guess it depends how far you want to go back, so I'll certainly give you my perspective. And so if you go back a number of years, the Diagnostics business was one that was probably growing mid single digits and I would say now it is comfortably in the sort of 7% to 8% range. Some of that was expansion into emerging markets, some of that to your point was the innovation side where we've gone into menu expansion and also a number of areas in the applied genomics area. And the goal here is to take that from sort of 7% to 8% to double digits. And the way to do that in our view is we're funding Vanadis, which as we've talked about in the past, we think we'll be sort of disruptive in the NIPT market. Obviously, the EUROIMMUN acquisition I think brings some interesting capabilities not only from a technology perspective but obviously opens up a further addressable market for us, the Tulip acquisition obviously gives us I think incredible infrastructure in India, and now with the move into genetic services leveraging our capabilities. So as I think about the DX going from sort of mid single to high single to double-digit, that is the path we're on and we're trying to do that by maintaining a 30% operating margin. Shifting over to DAS, that's a business again depending on how far you go back was probably in the 13% to 14% operating margin, low single digits. We're now sitting here at 17% operating margins and we're trying to make a number of changes, both to the portfolio and the focus of the investments to get that up to mid-single digits and ultimately a 20% plus operating margin. So that's sort of the path we're on. It's a combination of execution, it's a combination of innovation and it's a combination of tweaking the portfolio.
Isaac Ro: That's helpful. Thank you. And then just a follow up on EUROIMMUN – certainly you see the opportunity there to accelerate the growth of the assets you mentioned. I am interested in a little more detail around how you plan to accelerate growth in the U.S. and how long do you think that might take? It does seem like there's some respectable competition in the allergy testing side at least as well as autoimmune. So I'd be interested in just sort of mapping out a little more specifically what you guys intend to do to realize that opportunity. Thank you.
Robert F. Friel: I would say that's – we're in the process of doing that right now. We've started to meet with the teams, a number of us were out at actually AACC earlier this week to start to put together the tactical plans to think about how – for example on the allergy side. I mentioned the fact with the recent FDA announcement, I think it was in the middle of July, we're looking to accelerate that because an issue – our plans were around where we needed to get sort of regulatory approval, but of course with the ability now to go to the market, we're looking at accelerating that. And so we're – the key for us though is to make sure that we prioritize these and the ones that we think can have the biggest impact in the shortest period of time and so we're putting those plans in place. But it will be around focusing on leveraging our strengths with the public health markets, obviously through our reproductive health, so we think we can leverage that. And then also utilizing their capabilities on the autoimmune side to add allergies and expand out their menu.
Operator: Thank you. And our next question comes from the line of William March with Janney.
William March: Hey, guys. How are you?
Robert F. Friel: Good.
William March: So first question. Maybe just going back to the longer term organic growth outlook, could you first maybe just talk about how new products are impacting organic growth this year? And then just secondarily, as you look at the R&D budget, how are you thinking about investing in DAS versus DX to fund that growth?
Robert F. Friel: So starting first with the NPIs, we said in the beginning of the year that we were looking to get sort of an incremental $50 million of revenue from new products. I would say if we look at the second quarter, we think it's in the sort of $21 million range. So we think we're – and in the first quarter, it was in the sort of $14 million range. So we're well on track to achieve that. Your second question with regard to how we think about the R&D is clearly there is a higher percentage of R&D being spent in Diagnostics as compared to DAS. So, think of Diagnostics as probably about a 7% R&D and DAS is probably closer to 5%, so it splits that way. But I think the thing to point out within DAS, it's very discriminated between where we're investing that R&D. And I would say that's a little bit of a change probably relative to a number of years ago where it was sort of spread more based on revenue to some extent. I think now there's huge differences between, if you look at the amount of money that's spent in some of the high growth areas, like quantitative pathology or food, it would be much different than some of the lower growth areas. I would say, the other thing to point out is, while it's about 5% across DAS, a large portion of that business has service. So, on a product basis, we're probably investing something closer to the Diagnostics.
William March: Got it. And then just my follow up, you highlighted strong growth in the service business, just what's been driving that growth? And then as you think about the margin profile for that business, is that running at a similar level to the DAS, slightly above, slightly below? Thanks, guys.
Robert F. Friel: So, if you look across the service business, it's about a $600 million business, and I would say the margins in that business from an operating perspective are comparable to the overall company, maybe a little bit better, obviously lower gross margins, but obviously it does not attract to selling and the R&D, as I mentioned previously. So, higher operating margins than the overall company, but lower gross margins than the overall company. What's been to a large extent driving that growth is our multivendor business, and we continue to see very good traction there, that had another strong quarter, I think – Andy mentioned. And the key there has been our ability to continue to broaden out our capabilities beyond asset management, into compliance quality, data integrity. I think leveraging the investment we made a number of, a couple of years ago in informatics is becoming a significant differentiator for us, in a number of these tenders for the lab services of the large pharmaceutical companies.
Operator: Thank you. Our next question comes from the line of Dan Arias with Citigroup.
Daniel Arias: Yeah, hi, thanks for the question. Rob, just so that I understand on the IT issues, are those fully behind you, or does that still carry some risk?
Robert F. Friel: Yeah, no that's behind us, and this was if you recall this Petya malware that got into a couple of companies. Our IT guys did a great job on it, it didn't really infect in PerkinElmer's computers. But we had a third-party logistics supplier that does our – did some of our businesses in Europe it's Brussels based and that's where the challenge was. Those products have subsequently been shifted in the third quarter and we don't expect to see it, have that issue going forward.
Daniel Arias: Okay. And then within the industrial markets Municipal Water, I think has been an area that's been sluggish for a while, did the improvement in cyclical demand extend to that market as well or is that still a bit challenged?
Robert F. Friel: So, I would say Municipal Water is not an area of significant focus for us in our businesses. And where we're seeing the growth on the industrial side at least in the second quarter was largely in Asia.
Operator: Thank you. And our next question comes from the line of Tim Evans with Wells Fargo Securities.
Tim C. Evans: Hi, thank you. Just to go back to the academic piece, would you mind elaborating just a little bit on, on what you think might be driving that?
Robert F. Friel: So, if you look at our academic business, it was up fairly strong in the U.S., I think it was high single digits. And where we saw the declines or the negative growth was both in Europe and in APAC down somewhere either low single-digits or mid single-digit. And I think it's – to some extent, funding clearly in the UK with what's going on with Brexit and none of the funding there that was European sourced, is now sort of shifting around. And so I think that's probably the biggest driver to the European funding, and Asia maybe just more of a timing issue for us.
Tim C. Evans: Okay. Great. And then, on the Pharma business. I think you said that was up low single digits including the headwind from their radioactive business. What would the Pharma end market have grown excluding that headwind?
Robert F. Friel: They'd probably get you more into the mid single digits where I think is probably more characteristic of the market.
Tim C. Evans: Okay. Great. Thank you.
Operator: Thank you. And our next question comes from the line of Doug Schenkel with Cowen & Company.
Doug Schenkel: Hey, guys. Good afternoon. There is three topics I'd like to cover or I'd like to ask you guys to cover. So I'll rattle through those and then get back in the queue. The first is on the malware issue. It sounds like you attributed about $10 million in revenue to that. Is that right and is there any opportunity to recapture any of that? So that's the first one. The second one is, you've increased full year EPS guidance, I think by $0.03 at the midpoint of the range. How much better is FX now than it was the last time you provided guidance? Is that the full $0.03 or is it a little more than that or a little less than that? Then the third thing I want to go back to the topic of your new clinical whole genome sequencing service initiative, and congratulations on that. In answering Tycho's and Isaac's questions earlier, you talked about PKI's various capabilities in existing adjacencies, which are clearly extensive. That said I don't think you talked about the market in the context of the – I guess the why now question. What are you seeing in the market that drove you to make this decision in terms of interest in this type of offering? And how does declining price factor into the equation? I ask this because some have argued that there is too much capacity in the market, and that market elasticity is waning. Your launch of this initiative seems to run contradictory to these arguments and you seem to be in a really good position to assess the state of the market. So, if you could comment on that? And also whether or not these are, as I would assume, Illumina NovaSeq for the several sites you've noted? Thank you.
Robert F. Friel: Okay. Well, I'll take the first and third one and I'll pass the one on foreign exchange over to Andy. So, the malware was about half of the number that you mentioned. It was probably about a $5 million impact for us as I said it was fairly evenly split between DX and DAS. And when we look at relative to our guidance which was in the 3% to 4% range, we would say about half of it was due to the challenge with the logistics provider in Europe and about half of it was probably attributable to the academic market which was declining and we had forecasted it to be up slightly, let's say, low to mid-single digits. So, that's how I would handicap that. Andy, why I don't I switch over to you..
Frank Anders Wilson: Sure.
Robert F. Friel: ...the FX and then I'll come back and handle the genetics question.
Frank Anders Wilson: Doug, this is – go ahead.
Doug Schenkel: Actually Rob, Rob real quick. Do you think you can get some of that back, I know it's not a huge number but is that kind of...
Robert F. Friel: Yeah, I think we'll get all of it back because..
Doug Schenkel: Okay.
Robert F. Friel: .. these are products that are sort of instruments. It's not really consumables. If it was consumables, I'd say, if it's not on the shelf, they're going to take somebody else's. And just to spend a second on and the fundamental reason why we use the – or historically, we use this is, so in a lot of instances, when a customer buys, let's say, a JANUS from us for automation or liquid handling. That PO could have 12 line items on it because they're buying the JANUS, they're buying a power cord, they're buying accessories, and et cetera. And so we have used logistic suppliers in Europe to help sort of kit that and consolidate that and just to give you sort of a little color, I got a text on the Thursday before the quarter closed it said we have $14 million of product that's sitting in a Brussels' warehouse and our logistic supplier had lost all capability to track and figure out what's in their warehouse. And so I give a lot of credit to both our IT and our ops team that sort of jumped on a plane went over to Brussels and did a terrific job of making that only a $5 million problem but that's essentially what caused the issue and that's why we used the logistic supplier.
Frank Anders Wilson: And Doug, this is a follow up. We have obviously been working with the carrier and a majority about all of those revenues will be captured and a large swath of those have already gone out to the customer, so we feel pretty good about that. As far as FX, we calculate our FX based on the balance sheet date and the impact between the second and fourth quarters is about $0.03, so that's basically the raise in our guidance from the mid-point of $2.85 to the mid-point of $2.88 and we obviously we'll update that each quarter but it's probably for the second half about $13 million of headwind.
Doug Schenkel: Okay. Super helpful and then Rob, would you mind going back to that why now in the market question in the whole genome services?
Robert F. Friel: Yeah. I would say it's a combination of things and if you look at sort of why do it now is one, it was a combination of building the capability and some of that was technology and some of that was people. We wanted to make sure we had the right organization to implement this, but I think the other driver to it was the, with the NOVASiC, you're now getting to the point where the cost of a whole Genome is approaching what used to be the cost for exomes. And so I think it was a combination of with our capability in the frontend and the NOVASiC, we thought we could put a very competitive offering out there, and then combine that with the capabilities that we built up and then of course I talk about the strategic connection to our newborn and ViaCord business. And then, the hope is we'll able to expand that into other areas like the NICU, I talked about the collaboration with the pharmaceutical companies around having them identify candidates for clinical trials et cetera. But I would say, it was a combination of building capabilities, and getting to a cost point that thought could be very competitive.
Doug Schenkel: Okay. Thanks, guys, for all of that.
Operator: Thank you. And our next question comes from the line of Bill Quirk with Piper Jaffray.
William R. Quirk: All right. Thanks. Good afternoon, everybody. I guess a couple of questions on birth rates, if I may. Some of the data coming out here in the States suggests that things are going negative in some states, presumably because of Zika. So, I assume that will be pretty transitory, Rob. So I was just curious if you had any comments there? And then also, I remember I think last year, there were some issues with Brazil, just curious if things are bouncing back there? And then, I've got a follow-up. Thanks.
Robert F. Friel: Yeah. So, first of all, our data would corroborate what you were saying, which is our data would suggest that birth rates are down 1% and 1.5%, and we saw that turn particularly in the second quarter. Having said that, and I think I mentioned this previously, our newborn business grew very nicely, and it grew very strong in the U.S., and again I think that was driven more by menu expansion as compared to birth rates. But we are seeing a little bit of a declining birth rate in the U.S., now at least on a trailing 12-month basis. With regard to your Brazilian question, we have seen Brazil snap back nicely here, and we saw strong growth in Brazil, I mean it was up over 20%, and so hopefully we will continue to see some nice growth there.
William R. Quirk: Very good. And then just as a follow-up, it looks like if I'm doing the math right here, it looks like Tulip was a little bit ahead of our expectations, it certainly sounds like you have got some big things planned for this particularly with respect to leveraging your new NGS capabilities, Rob. So maybe you could just elaborate on kind of how that business is tracking versus your expectations? Thank you.
Robert F. Friel: Yeah. That's correct. Tulip is doing better than the deal model, so we're excited about that. And I think we are now at the point where we can start leveraging that with some of the PerkinElmer products. And I would say the other significant opportunity is I think with EUROIMMUN. I think both taking some of the EUROIMMUN products or some of the Tulip products and putting them into places where EUROIMMUN now is like Brazil and other areas, I think there is an opportunity. And so I think Tulip is going to continue to be a great opportunity for us. And we're also starting to see opportunities to leverage that infrastructure and knowledge to help us in the reproductive health area.
Operator: Thank you. And our next question comes from the line of Jack Meehan with Barclays.
Mitchell Petersen: Thanks. This is actually Mitchell Peterson on for Jack this afternoon. Firstly, I was just hoping you could touch on the blood screening business in terms of growth in the quarter, and then also your progress penetrating the Chinese market?
Robert F. Friel: So, I think as we mentioned in the first quarter, because we had such strong instrument placements in 2015 and 2016, that our expectation is that the blood screening business at least from a top line perspective would sort of slow and in some quarters actually be flat to down a little bit or up a little bit, and that continues to trend here in 2017. Having said that, the profitability is increasing nicely because while we're selling more reagents and less instruments, so that that top line is being negatively impacted, obviously, that's much more profitable for us. And I think we continue to feel like we're making good penetration on the market share there. We probably think we're 30% of the market or so.
Mitchell Petersen: Okay. And then as a follow-up. What was growth in biopharma specifically in the products business. And can you talk about the market environment that you are seeing there? Thanks.
Robert F. Friel: So I think if you look at the overall product business, it was flattish.
Operator: Thank you. And our next question comes from the line of Derik de Bruin from Bank of America. Please go ahead.
Derik de Bruin: Hi. Good afternoon.
Robert F. Friel: Good afternoon.
Derik de Bruin: Going back to the genomics business. What do you think about the business in terms of as a services business. Is it going to be more profitable, less profitable than how you sort of think about the OneSource business? I am just sort of curious on where you think profitability could be.
Robert F. Friel: Yeah. We do – we think it will probably be a business that can probably do high teens, maybe low twenties. When we look at sort of the current ASPs and what our cost structure is, so that's how we're sort of modeling it out.
Derik de Bruin: Okay. And I guess any update on Vanadis? Have you had anything more on that? Haven't really heard anything recently, and like when do we expect an update on progress?
Robert F. Friel: Yeah. So I would say Vanadis continues to progress well. We're on track for commercialization in the first half of 2018. What you'll start seeing sort of the latter part of this quarter and the early part of fourth quarter is we'll start to have limited placements of the – what I'll say, the research grade systems to support the regulatory submissions. And so, things are still on track there and we're still excited about getting that out, as I said sort of first half of 2018.
Derik de Bruin: Great. And you'll have some clinical publications ahead of that, so we'll get a chance to look at it or how are you going to release it?
Robert F. Friel: Yeah. So I think as those come out we'll sort of make sure that people will see those and we'll publish those accordingly.
Operator: Thank you. And our next question comes from the line of Catherine Schulte with Robert W. Baird.
Emily G. Stent: Hey, guys. Thanks for taking my question. Kind of following on – or actually sorry, this is Emily on for Catherine. Following on the Vanadis question, what kind of cross selling opportunities do you have between that and ViaCord?
Robert F. Friel: No. I would say, from the standpoint as they're both sort of related to the sort of the OBGYN possibly in the U.S., but I don't know that there is a significant opportunity in that area.
Emily G. Stent: Okay. And then, OUS, can you talk about what types of birth rate trends you're seeing particularly in China and India? And in your guidance, how much are you embedding menu expansion versus continued penetration in the markets?
Robert F. Friel: So I would say in China birth rates are sort of mid single digits. And I would say, there the growth rate is driven much more by menu expansion than penetration. Our penetration in China now is up in the sort of 90%s. So it's all going to come from menu expansion to a large extent. India birth rates are sort of flat to low single digits. And as I've sort of talked in the past, I mean I think we're making good progress in India, but I continue to believe that's going to be a fairly slow ramp. And so that's going to be a multi-year process. It's a huge opportunity, it will just take awhile between sort of education, et cetera, to get that to the point where we are in some of the other countries.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back over to Rob Friel for any closing comments.
Robert F. Friel: Great. Well, first of all, thank you for your questions, and your interest in PerkinElmer. So, I appreciate having the opportunity to share with you both the progress we're making to deliver value to our customers, shareholders and employees, as well as some of the exciting plans for the future. Thanks for joining us tonight, and have a great evening.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may now disconnect. Everyone have a great day.